Operator: Good morning. My name is Sean, and I will be your conference operator today. At this time, I would like to welcome everyone to the ACI Worldwide Reports First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question and answer session. [Operator Instructions] I would now like to turn the conference over to Mr. John Kraft. Mr. Kraft, please go ahead.
John Kraft : Thanks, Sean, and good morning, everybody. Today's call, like all of our events, is subject to both Safe Harbor and forward-looking statements. You can find the full text of both statements on the first and final pages of our presentation deck today, a copy of which is available on our website as well as with the SEC. On this morning's call is Phil Heasley, our CEO; and Scott Behrens, our CFO. With that, I'll turn it over to Phil.
Philip Heasley : Thanks, John. Good morning, and thank you for joining our call. We are very happy to report our quarter one results. We’ve gotten off to a strong start in 2015 and believe we are well positioned to achieve our full year goals. Interest in our new Universal Payments offering continues to grow and we are particularly excited, not only with the breadth of potential uses for this versatile and powerful framework, but also its implication and application in many different market segments. We worked hard to bring this long time vision to reality and early market interest truly validates our strategy. Today I am pleased to announce the signing of a large customer and prominent brand in the transportation industry while we cannot yet name the company ACI software or power their new omni channel payment infrastructure, or from our secure and fully compliant datacenters with the promise of reducing operational expenses minimizing corporate branding risk as well as preventing payments fraud ACI’s UP platform will provide this company’s customers with a seamless omni channel experience across all channels such as mobile, web, and brick and mortar. Having this well-known brand as a reference, the transportation industry will become an expanding and promising vertical for ACI. While we are excited about this new opportunity to deliver our universal payments to new merchant verticals such as transportation and hospitality, we are not taking our eyes off the board regarding our long-term leadership in the Financial Institution segment. This market is asking for lower cost, more efficient, cross-silo platforms, Universal Payments is a perfect fit and interest in ACI and up it’s becoming more prevalent everyday. As Scott will discuss in further detail, we delivered solid financial results in light of foreign currency headwinds that have increased since we spoke to you last quarter. We saw strong growth in adjusted EBITDA which grew 16% over last year. Operating income which grew 45% over last year and free cash flow grew 159% over last year. Overall, I am very happy with this strong start to 2015. I will now hand the call over to Scott who will discuss our financial results and 2015 guidance in much more detail. Scott? 
Scott Behrens: Thanks, Phil and good morning everyone. I first plan to go through the highlights of the first quarter and then we’ll provide our outlook for the full year 2015, we’ll then open the line for questions. I'll be starting my comments on Slide 6, with key takeaways from the quarter. As Phil stated, the year is off to a strong start with total sales bookings including term extensions up 23% over the last year, higher term extension sales were partially offset by lower new sales bookings, down 9% from last year’s Q1. But as you recall, in Q1 2014, we saw particularly strong SNET growth which grew 59% representing an obviously tough comparison. For the full yea, we remain on track to achieve SNET growth in the high single-digits. Moving to backlog, we ended the quarter with 60 month backlog of $4.1 billion, up $30 million from last quarter after adjusting for foreign currency fluctuations and 12 month backlog of $889 million or essentially flat from Q4 after adjusting for foreign currency fluctuations. We saw non-GAAP revenue of $233 million in Q1, up 5% from Q1 last year or up 8% on a constant currency basis. This was at the higher end of our expectations despite foreign currency headwinds that have increased since we spoke to you last. Excluding incremental revenue from the Retail Decisions acquisition, our organic revenue grew 3% on a constant currency basis after adjusting for $5 million year-over-year foreign currency impact. And overall, we continue to see our revenue shift towards more reliable, stable and predictable recurring revenue representing $109 million of total revenue or 81% of the total. And specifically, our SaaS subscription transaction revenues continue to grow up 10% from Q1 last year. We saw strong growth in both adjusted EBITDA and operating income up 16% and 45% respectively, compared to Q1 last year. We also saw strong growth in operating free cash flow which grew 159% to $39 million. And lastly, on this slide, we ended the quarter with $68 million in cash and after paying down $42 million in debt during the quarter, total debt balance of $850 million. Turning next to slide 7, we are reaffirming our full year guidance adjusting the top-line revenue slightly for foreign currency fluctuations during the quarter. As we’ve discussed before foreign currency is generally a top-line revenue in expense phenomena for us, based on the basket of currencies in which we do business. So we are essentially hedged at the margin level. Consequently, we are updating our revenue range for foreign currency and reiterating our EBITDA guidance. So for 2015, we expect non-GAAP revenue to be in a range of $1.04 billion to $1.07 billion, which represents organic growth of approximately 3% to 6% on a constant currency basis over 2014. We continue to expect our 2015 non-GAAP EBITDA to be in a range of $280 million to $290 million. And as I said earlier, we are – we continue to expect our sales net of term extensions to be in the high single-digits for the year. Looking ahead to Q2, we expect revenue to be in a range of $240 million to $250 million. And lastly, this guidance excludes approximately $10 million in expected one-time integration-related expenses for our continued datacenter and facilities consolidations and platform consolidation. That concludes my prepared remarks. Operator, so we are ready to open the line to questions at this time. 
Operator: [Operator Instructions] And your first question is from the line of George Sutton with Craig-Hallum. 
George Sutton : Thank you. I wondered if you could go into some more detail on the versatility of uses, comment you made relative to the UP platform and obviously, in particular, transportation vertical, can you give us a sense of the types of opportunities you see there? 
Philip Heasley: Yes, I guess I could. With very importance to all retailers, not just transportation, I’ll start with all retailers, is the fact that, multiple channels for payments or multiple channels for commerce were kind of built in tiers, there was through the door, there was mail order, there was phone, there was the online and each one tended to be built as a channel. And two things happened which made retailers wipe difficult and an opportunity. One was that the fraudsters saw that as a wonderful way of playing the channels against each other, because, the fraudsters could have a common database and the retailers didn’t. So that was one. The other one was, is that the customers didn’t view these as separate channels, they viewed those as a common brand and they may want to buy something in one channel and pick it up at another or they use multiple – they want to use multiple channels in dealing with the customer very frustrated that the merchant was enable to respond in a kind and then of course the merchant who is always margin conscious, because of competition was carrying redundant costs to do payments and customer service and several different things along different channels. So, the notion of an omni channel, the ability to have the customers, the denominator of what was going on in terms of their different channels and therefore how they did business, they had a common denominator, one loyalty system against a lot of them actually had multiple loyalty systems by channels. So, it allowed them to have a single customer view versus have a channel view of how they were doing business. If you look at the transportation industry, they’ve got a little bit more of a wrinkle because they somewhat invented – we’d like to think financial institutions invented payment rewards but transportation industry as much invented payment rewards as did the financials themselves. And with the fraud implications and with the Durban implications of lowering interchange and what not, the opportunity for rewards become more equal, let’s put it that way, it’s not a little bit more biased towards the merchants whose cost of goods are paying for it. It gives the transportation industry more incentives to have an omni channel that sits underneath, that sits underneath their payment system and somewhat to be in the driver seat as it relates to managing the rewards portion and they are – their fundamental business is not operating datacenters and what not, they are not operators the way the financial institutions are. They tend to run transportation as their core business. So, they don’t have the reluctant or the margin structure that a financial would in terms of needing to run their own datacenters and what not. And they are more than happy to have an infrastructure that is more SaaS oriented, buying it by the bias, by the drink. Does that answer your question? 
George Sutton : IT does, I think it’s exciting, because it suggests there is a much larger market opportunity for the UP platform than I think we may have previously believed. My second question gets to the, remember in Q4 you had a couple of large deals that had pushed out, you had expected to be signed at some point in 2015, I am curious if you could just give us some qualitative updates on some of these larger opportunities? 
Philip Heasley: Well, one of the ones that was pushed out with large transportation deal, got on name right, so, that’s been signed and where we had two or three deals that were progressing very well before they are up that were largely in the financial. We probably have seven or eight of those deals right now. But they are transformational and they are big and complex and we are still confident that one or more of them are going to be signed this year. It not only requires us to do a lot of work, it requires the people we are doing with business with, they do a lot of work and it virtually requires them to kind of change the way they are structured somewhat because they are now going through a more real-time, they are structuring themselves to be a more real-time institution, more omni channel themselves. So that they have a – so that, imagine actually doing with the business the bank who has the same date and timestamp on all the data that they deal with you. They are online, they are mobile, they are in branch, the whole experiences have the same timestamp. That would actually be as revolutionary, if not more revolutionary for bank than it is for retail. So it’s taking a lot of change on both sides, but we are more confident than we are. I am more confident, so I just met with one of America’s largest banks this week and I am more confident than ever about the – about our role in this. But I am also sober in terms of the amount of pre-work that’s required for us to realize it. 
George Sutton : Perfect. Thanks. Thanks guys. 
Operator: Your next question is from the line of Brett Huff with Stephens Inc.
James Rutherford: Hey, thanks for taking the questions. This is actually James Rutherford in for Brett. Congrats on the quarter. Couple of questions, first on the Universal Payments, can you give a sense of the size of the transportation deal that you just signed and then the timing of when that may turn to revenue? Thanks.
Scott Behrens: I don’t know how that really – no I think if I gave the size, I would be like cheating on giving the names. So, I am not going to do that and this is going to probably be 12 – not 12, but probably 15 to 18 months if we do everything right. I mean, this is going to take every form of payment that there is and it’s integrated with fraud and this is going to be the full – this is going to be a full house deal. So, 12 – 15 to 18 months is – we’ll be very proud of ourselves, that’s what up and running and 15 to 18 months. 
James Rutherford: Okay. Thanks.
Philip Heasley: And just to add to that, when they do come online, this is, success that we are continuing to see in our hosted business by the omni channel sale meet, so we’ve sold a payment switching fraud detection and part of that includes a cloud-based offering. So when it does come in, it will layer on incremental recurring revenues once it does go out.
Scott Behrens: Now, one thing I will say about it is that this will be very replicable deal. So that to the term that, there is other similar transportation companies to this will not take as long as the first one would take is it’s on-demand. Right, so, but, to say that the first one is going to come live before that timeframe with the – with deals where we ambition. 
James Rutherford: Okay, great. And then on Fundtech, that was recently acquired, do you expect to competition with them to change it on now that they are owned by D&H also, I guess did you guys have any interest in that asset? 
Philip Heasley: We don’t – a lot of what Fundtech does, we do have our CFO business and, we continued a little bit in the community banking side with them and we are one of four, five, part of our US commercial banks use the competitive product on the wholesale banking side. But no, we don’t consider them a major competitor in terms what we are doing with often what Fundtech is doing. We don’t believe them to be face-to-face competitors. We show up in the hallways with them. The way we do with a lot of other companies, but no. I think very good companies at Boston, we think that’s a great deal. We think it’s nice. We were not involved in the transaction. 
James Rutherford: Okay, great. Thank you. 
Operator: Your next question comes from the line of Wayne Johnson with Raymond James.
Wayne Johnson : Hi, yes, good morning. Regarding the transportation deal and my apologies if you’ve mentioned this. I switched on late. Is there any functionality that you are going to be providing to that transportation company through up that includes like accounts receivable or accounts payable?
Scott Behrens: No, accounts receivable, no, we would not be doing – we are providing them access to those people that would accounts receivable and accounts payable, but, no, we ourselves are not going to be carrying balances on either side of the ledger. 
Wayne Johnson : Right, right, okay, that’s helpful. And then also, can you talk a little bit about the dynamics, just here at home in the US in particular about interest in UP from the traditional FI constituency? 
Scott Behrens: I can honestly tell you that, we are in dialogue with, if you were to say share of electronic payment accounts, we are probably in dialogue with the people that control somewhere between 80% and 90% of the transaction. We are in active dialogue with them right now both at the primary level and in secondary level. 
Wayne Johnson : And just kind of bet this if I can just run with that for a second, just kind of best case scenario, how would that all play out to ACI’s favor? 
Philip Heasley: Well think of this way, think of it more globally than even that. ACI provides through BASE24. We supply 19 of the 20 largest payment banks in the world. We supply 19 of the 20 largest banks in the world today. We are now potentially providing them a roadmap that allows them to go from being point-to-point electronic bill payers and mostly dual message format, point-to-point payments to – we can give them any-to-any capability in single message format and not have to abandon their install technology in the process of doing it. That’s a pretty compelling dialogue. It also requires them to kind of reorganize from a point-to-point mentality to more of a customer doing any-to-any kind of transactions in order to do it. So it’s a transformational kind of change. So, it’s a very different way of thinking about – it’s a very different way of thinking about what the future is, but, so as real-time commerce, it’s a very different way of thinking about how you do commerce. So it matches payments, it matches real-time. It gives a facility for real-time payments to match real-time commerce, simplest way I can explain that. 
Operator: And your next question is from the line of Peter Heckmann with Avondale. 
Peter Heckmann : Good morning gentlemen. Nice quarter. I just wanted to follow-up on the – I think, after interchange in the EU, can you talk about the timeframe for that? I guess, my understanding is that, that is a final recommendation that we would be put into place over the next year and can you talk about how that might catalyze the decision-making among large FIs in Europe? 
Philip Heasley: As far as we know, it is finalized. As far as I know, it is finalized. And we – just my personal belief that you will see more and more what they call payment. You’ll see more and more real-time kinds of payment and what not. I think, it further pushes, I think it further pushes real-time commerce deals and it makes the more expensive – makes the more expensive interchange-based, high interchange-based payment migration. It forces the higher cost interchange migration to take place. So, it’s taking what should be an actual migration and makes it a little bit unnatural by giving it a regulatory push. 
Peter Heckmann : And you were just doing some background work, it appears that Australia is currently pursuing a real-time payments project. It looks fairly significant and I did noted that the ACI’s involvement in any of the bidding consortiums. Are you playing behind the scenes there? Or is that something that you are not involved in?
Philip Heasley: Well, you should understand, we are not – we never take size and it’s not our goal around the world. We are never part of a network or we never – we are on the merchants. We try to - we try to be the IT and those many solutions as possible. Actually, there are 30 or 31 initiatives in faster payments taking place around the world right now, not just, it’s not just Australia. Probably the most significant one that’s taking place is the United States. Although it’s probably behind Australia, although I’d probably bet $2 that it will beat Australia to be the finish line because it’s allowing itself to be more commercially based versus government based. Australia is already delayed itself. But just about 30 or 31 of them taking place around the world and it’s important because it’s now an issue of how competitive the governments are from a commerce standpoint. 
Peter Heckmann : Great, and then last question. I’ll get back in the queue, on the biller direct model, can you give us an update there, any change in dynamics in the marketplace or any change in the velocity of growth transactions? 
Philip Heasley: No, the biller direct side of the world is kind of – I think that market is still very virgin. I think it’s still very new and when people say well, gee, you know, if this message card business, everyone I think views biller direct as a vehicle for traditional payment devices to exercise themselves. It’s our belief that biller direct is probably going to be the next generation of how paying off. Once retailers secure the omni channel, I think you are going to start seeing any-to-any networks and you are going to see a proliferation, what goes around, comes around, you are going to see private-label reignite itself in major retailers and what not. But private-label is going to come about more from an any-to-any kind of advantage point and what not and the ability for a lot of major players to allow consumers to triangulate between purchase payment and bill satisfaction is going to percolate EBPP, which is electronic bill presentment and payment. So, it’s going to impact and I think you are going to see the wholesale private banks are starting to play a much bigger role in consumer bill payments. And as ACH twains as a bill collection mechanism, you are going to see the wholesale bank being involved in electronic bill presentment and payment and the other guys that may try to get into that maybe the Googles and the Yahoos and what not. But I think the natural – the ones who have the natural connections and the natural channels to make that work are actually the wholesale side. We will see a real fuzzying between the technologies they’ve truly organized around the customers, the denominator and the technology neither being wholesale nor retail, and both the retailer and the bank having common technologies, I think you’ll see electronic bill presentment and payment as being the linkage, the railway between the two. 
Peter Heckmann : All right. Thank you. 
Operator: There are no further questions at this time. Are there any closing remarks? 
Philip Heasley: Well, thanks everybody for joining the call. We look forward to following up in the coming weeks. 